Operator: Good day, and welcome to the News Corporation first quarter fiscal year 2016 earnings call. Today's conference is being recorded. The media is invited to today's call on a listen-only basis. At this time, I would like to turn the conference over to Mr. Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's fiscal first quarter 2016 earnings call. We issued our earnings press release about an hour ago. It's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Bedi Singh, Chief Financial Officer. We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-Q for the three months ended September 30, 2015 identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and a reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used on this call such as segment EBITDA, adjusted segment EBITDA and adjusted EPS are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. With that, I'll pass it over to Robert Thomson with some opening comments.
Robert Thomson: Thank you, Mike. News Corp is on track in its transition to a more digital and increasingly global future, having integrated several recent acquisitions and built a powerful platform for sustained growth. We have focused on driving the long-term expansion of revenue and profit, and leveraging the potency of our brands, while diligently confronting costs to maximize long-term returns for all investors. During the last quarter, foreign exchange fluctuations obviously negatively affected revenue and EBITDA in our international operations, but this should not obscure the real progress made at many of our businesses. In fact, News Corp's revenues, excluding the effects of currency, grew 4% in the last quarter, underscoring the value of our shift to higher growth businesses and our prudent reinvestment strategy. We believe the global economy is still in relatively unchartered territory, with U.S. interest rate rise pending and emerging markets still subject to political and economic volatility. From a macro perspective, our core markets are growing, but not at an optimum level. We are particularly pleased with the progress at realtor.com, which is significantly ahead of schedule on key metrics. We are now by some reckoning the world's largest digital property listings company. Our majority-owned REA has just announced plans to acquire iProperty Group, the leading digital real estate operator in Southeast Asia. We also see a bright future in the U.S., where the national real estate market is still gradually returning to health, with recent increases in the volume of units sold and the potential for further expansion. The company's digital expertise and ability to harvest commissioned data has been enhanced by the addition of Unruly, Storyful and Checkout 51, all of which will have a positive impact across our businesses and around the world. We are already seeing significant new contracts and business opportunity, because of Storyful's and Unruly's unique skills in measuring the social and viral penetration of advertising campaigns. And Checkout 51, acquired by News America Marketing, will provide us with real-time information about consumers' buying choices. In the areas of data and advertise, we believe markets are on the cusp of significant upheaval. Contemporary advertising has been distorted by trash traffic, invisible impressions and mockable metrics to the detriment of advertisers, large and small. Needless to say, and thus worth reinforcing, all newspaper ads are a 100% viewable. Respected brands and quality journalism will have a particularly profound value at a time when so many so-called audiences are artificial. While musing on the value of the genuine and verifiable, it is worth noting the healthy multiples for financial news brands with some, but limited global reach. There is no business news brand with the authority, the credibility or the reach of The Wall Street Journal and Dow Jones. Will Lewis and our team at the company are striving to make the most of a brand, a content set and an audience that are uniquely valuable. Bedi will provide further depth and detail on our results for the first quarter of fiscal 2016, where our reported revenues were $2.01 billion compared to $2.11 billion in the previous year. Clearly, currency fluctuations had a negative impact. Income from continuing operations was $143 million compared to $109 million, while total segment EBITDA was $165 million compared to $194 million, again reflecting the significance of currency movements. Reported earnings per share from continuing operations were $0.22 compared to $0.15 in the prior year. As I signaled, our expanding digital real estate operations are a powerful source of growth and reason for optimism. REA revenues and EBITDA accelerated versus the fourth quarter, with a notable improvement in lifting volume in Australia and a higher uptake of premium listing passages. realtor.com continued to benefit from its integration into the broader News Corp family, and is reporting robust revenue growth with a 33% increase year-on-year, significantly higher than our competition. Traffic continue to expand rapidly in the most recent quarter, with average monthly unique users of 46 million, a 43% increase year-over-year, while mobile users rose by 64%. Engagement at realtor.com is also strong, with our enhanced editorial coverage seeing a more than 200% increase in traffic year-over-year, and reflecting a crucial role that the company's traditional skills can play in the contemporary marketplace. Extra attention is being devoted to our software and service business, which today accounts for approximately 20% of Move's revenues, to ensure that we provide realtors and vendors and purchasers with the freshest and most accurate listings information, and to improve lead generation and conversion. With realtor.com gaining market share and momentum, we continue to expect Move to be EBITDA-positive this year and that number should ramp up in fiscal 2017. We are also heartened by the performance of both WSJ advertising and the professional information business at Dow Jones. Advertising at the Wall Street Journal rose against the comparable period, both for print and for digital, with the technology sector being a significant contributor to revenue. It is perhaps not surprising that those whose trade is purely digital should appreciate the power of the print platform, which is in essence a succession of prominent daily billboards for an influential, affluent self-selecting audience. Meanwhile, circulation revenue at the Journal grew mid-single digits. Thanks to a new pricing schedule and healthy volumes. Keep in mind that circulation revenue at Dow Jones has grown every quarter since News Corporation acquired it in 2007. The professional information business grew, adjusting for currency vicissitudes, for the first time in more than two years and certainly appears to be headed in a positive direction. Our risk and compliance business is striving at a time of intensified regulation and government scrutiny, and we are launching a suite of WSJ Pro products aimed at professionals, who require a sector-specific briefing about changes, opportunities and threats in their areas of expertise. That higher level of business intelligence obviously demands a higher price. Speaking of launches, just this week, the Journal released its new WSJ City app, bringing the best business news to people who are in or care about the City of London. This is but one example, along with the new global editions of the Journal of the potential growth internationally. I'd also like to point out the success at Barron's, who's experienced growth in circulation and advertising revenue, both in digital and print in the U.S. and internationally, especially with the launch of a digital edition in Asia. FOX Sports in Australia performed admirably in the first quarter in local currency. Advertising grew significantly and continued to gain market share, as advertisers recognized the loyalty of the viewer base, the quality of the sports rights and the work done to create compelling programming between sports events. A digital presence has increased through FOX Sports Now and the large audiences for the Rugby World Cup, despite the time difference with London. We are also excited by the expanded and extended relationship with Australian rules football, with the agreement that FOX Sports will broadcast matches through 2022. We are confident that FOX Sports has the most valuable rights for Australian sports, which generate by far the highest ratings. Foxtel continue to expand its cable and satellite subscriber base, and penetration has certainly been improving. The situation is very different to that of the U.S., where the vast majority of households already have cable or satellite contracts. In Australia, the figure is a relatively modest 30% penetration. Meanwhile, we are pleased that the ACCC has approved the Foxtel investment in the 10 Network, and we expect to benefit from use of the multi-channel network joint venture for advertising, sales and services. As previously indicated, we completed the sale of the Amplify Insight and Learning businesses. And our decision to exit from the digital education business should begin to show earnings and free cash flow improvement. We are proud of the work done by the Amplify team in creating a unique curriculum for the contemporary classroom and have no doubt that the new owners will continue to develop this remarkable resource. From our perspective, the departure from digital education is consistent with our increasing focus on free cash flow and the imperative to drive higher value for shareholders. HarperCollins was, as expected, partly a victim of its previous year's success with the Divergent Trilogy, which has inevitably reached its maturity. Though its backlist value, will endure for many years to come. Go Set A Watchman, the sequel of To Kill a Mockingbird, became the fastest selling book in the company's history, having sold more than 3 million units during the period. But that success was balanced by a general softness in the e-book market, a trend evident to all publishers and one we are watching closely. Our news and information services segment declined this quarter, primarily due to advertising softness in Australia and currency weakness. News U.K. faced some advertising challenges, but was vigilant in controlling expenses. And the rate of advertising decline improved modestly versus the fourth quarter in local currency. Given this advertising weakness, in both countries there were renewed efforts to establish direct relationships with advertisers and to provide them with improved reach and return. Our new executive team in the U.K. is much energized and News U.K. is also leading in digital expansion, having overseen with our tech team in New York, the acquisition of Unruly, now being leveraged by our businesses around the world. At a time when some are struggling to discern the difference between ad tech and fad tech, Unruly is able to instruct clients on the relative virality and sharing potential of their advertisements, given its sophisticated algorithmic metrics, which can track consumer penetration. The value of its market intelligence is certainly clear to our own properties in the U.S., Australia and U.K. Creative commercial collaboration is intensifying around the company. We expect to use the powerful distribution channels that are MarketWatch and The New York Post to help drive downloads of Checkout 51 at News America Marketing. At the same time, we expect Checkout 51 will be a valuable source of sophisticated consumer metrics that will benefit many external clients of News Corp and can also help us target internal marketing with greater accuracy and effectiveness. There is certainly no shortage of data in the world, but much of it is ill-defined and superficial. We are aiming to create a data network effect among our businesses, with companies like News America Marketing, the Wall Street Journal, realtor.com and others, all providing leads to one another in a virtuous data circle. And within the real estate sector itself, we are already sharing expertise in software and content. We expect to be able to repurpose techniques and tactics across that network, which now stretches from Texas to Thailand and from Indiana to Italy. In conclusion, while we have experienced understandable challenges in a couple of our businesses this quarter, we remain confident in our overall plans for digital and global expansion. And we are certainly pleased by the growth potential of the increasingly powerful platform that is our digital real estate business. With that, I turn things over to our CFO, Bedi Singh, to expound on the financial details.
Bedi Singh: Thanks, Robert. During the first quarter, we approved a plan to dispose of the company's digital education business, and we completed the sale of Amplify's Learning and Insight businesses on September 30. Results for that segment are now reflected as discontinued operations. For comparability, this call will focus on continuing operations, excluding the impact from the digital education segment in both periods. We reported fiscal 2016 first quarter total revenues of $2 billion, down 4% from the prior-year period. As Robert noted, we were again impacted by currency headwinds, primarily the weaker Australian dollar, which declined over 20% versus the prior year and negatively impacted Q1 total reported revenues by $188 million or 8%. Excluding the impact of foreign currency fluctuations, acquisitions and divestitures, adjusted revenue declined less than 1% compared to the prior year. We reported total segment EBITDA of $165 million compared to the prior-year period of $194 million. Currency fluctuations, again, primarily the weaker Australian dollar impacted total reported segment EBITDA by $29 million or 15%. This quarter also includes $5 million of costs related to the U.K. newspaper matters, net of indemnification. Excluding these, as well as acquisitions and divestitures, our total adjusted segment EBITDA was down 7% compared to the prior year. Reported EPS from continuing operations were $0.22 versus $0.15 in the prior year. The current quarter EPS includes a tax benefit from the release of valuation allowances due to the planned exit of the digital education business, which resulted in increased expected utilizations of the NOLs that we acquired from the purchase of Move. Adjusted EPS from continuing operations were $0.05 versus $0.13 in the prior year. Now, let's turn to the individual operating segments. In News and Information Services, revenues for the quarter declined $161 million or 11% versus the prior-year period. More than two-thirds of that decline was related to the impact of foreign currency. Adjusted segment revenue declined 3%. Within the segment revenues, advertising, which was 53% of segment revenues this quarter, declined around 13%, or about 5% in local currency, which is a modest sequential improvement from last quarter. Looking at advertising performance across our key units, at the Wall Street Journal, domestic advertising improved 3% versus the prior-year quarter and an acceleration versus the Q4 rate with both print and digital ad revenue up versus the prior year. We saw strength in technology, particularly in print. We also had solid gains in luxury goods and professional services. At News Corp Australia, advertising revenues for the quarter declined 30% or 11% in local currency, as the marketplace was weaker than the prior-year quarter. We again saw softness in several categories including retail, employment, finance, and auto with the real estate category showing modest year-over-year growth. We are actively examining the cost structure at News Australia and looking for additional operating efficiencies in the near-term. At News U.K., overall advertising revenue declined mid-single digits in local currency, a slight sequential improvement from last quarter. We saw some improvements in the real estate category, like in Australia, but more than offset by continued weakness in retail, most notably the grocers. The Times and Sunday Times outperformed the market, down low-single digits this quarter, while the Sun remained weak, down low-double digit. As Robert mentioned, we made several management changes in September, including appointing Rebekah Brooks as Chief Executive, and the key focus is on improving the performance at the Sun, particularly its digital proposition. We expect to leverage the capabilities of the recently acquired Unruly to help achieve this. We announced last week that the Sun's digital content will be transitioning to a largely free model by the end of November. And we would expect the increase in audience to drive improved revenue and EBITDA. News U.K. also continues to look very closely at its cost base. At News America Marketing, revenues declined 5% versus the prior-year quarter due to continued weakness in FSI, impacted by weaker industry pricing. Domestic in-store advertising grew modestly this quarter. Total circulation and subscription revenues, which accounted for 41% of segment revenues, declined 6%, but were up 2% in local currency. Dow Jones professional information business excluding currency grew modestly this quarter, the first increase in 10 quarters, led by strength in risk and compliance and stability at Factiva. In consumer, we saw mid-single-digit growth again at the Wall Street Journal and at News Australia in local currency, driven by subscription and cover price increases and higher digital paid sales. Segment EBITDA decreased $22 million in the quarter or 21% as compared to the prior-year period and adjusted segment EBITDA was down 15%. While we benefited from strong performance at Dow Jones, results were more than offset by weakness at News Australia and the impact of currency this quarter. Also included in segment EBITDA was an incremental $5 million negative impact related to higher legal expenses at News America Marketing for ongoing litigations. Turning to the Book Publishing segment, revenues increased 1% and segment EBITDA declined 24% versus the prior year. Adjusted revenues fell 2% versus the prior year. And adjusted segment EBITDA fell 33%, primarily due to the difficult year-ago comparison, which had higher Divergent sales and weaker e-book sales in Q1, consistent with industry trends. Total digital revenue for the quarter were 20% of consumer revenues, down from 23% in the prior year, primarily due to the higher e-book skewing Divergent year-ago comparison, which impacted total revenues by $23 million this quarter. Divergent sold around 400,000 units this quarter versus approximately 3.7 million units in Q1 last year. The release of Go Set A Watchman in July, which shipped around 3.4 million units, with the vast majority in physical copies, had only a modest uplift to profits, as we expected. In digital real estate services, total segment revenues increased $79 million or 71%, driven by the inclusion of Move results. Segment EBITDA was flat compared to the prior-year period, as operating results improvement at REA Group were more than offset by foreign currency fluctuations. Excluding foreign currency fluctuations, REA's adjusted revenue and adjusted EBITDA grew 21% and 31% respectively, an improvement from the prior-year quarter driven by higher listing volume in Australia and increased depth penetration. As you may have seen, earlier this week REA announced plans to acquire the balance of iProperty it doesn't already own for AUD4 per share. The total cost for the acquisition is expected to be approximately AUD500 million or approximately $350 million, which REA plans to fund primarily through new debt facilities. The deal is subject to court and shareholder approval and will likely close in the Q1 calendar quarter of 2016. iProperty, as Robert mentioned, has leading portals in Malaysia, Indonesia, Thailand and Hong Kong and a strong presence in Singapore. The deal is consistent with REA and News Corp's plans to expand geographically and invest in high growth regions. Southeast Asia is particularly attractive, given favorable macroeconomic backdrop, increasing property transactions, and low online share of real estate advertising. Reported segment results include $85 million in revenue and an EBITDA loss of $4 million from Move, including approximately $4 million of stock compensation expense. Excluding this stock-based comp expense, Move would have been breakeven this quarter, and we continue to expect it to be EBITDA positive for this fiscal year. On a standalone basis, Move's revenues would have grown 33% versus the prior-year quarter. The improvement was led again by the connections for co-brokerage product and non-listing media revenues, benefiting from the successful integration into the Dow Jones programmatic exchange and higher audience levels. We also saw a year-over-year and sequential improvement in the software and services segment, led by an increase in subscribers to its Top Producer CRM product. In cable network programming, revenue decreased by $15 million or 11% compared to the prior-year quarter. Subscription revenues fell 12%, as higher affiliate fees and subscriber gains were more than offset by foreign exchange headwinds. Advertising revenues were down 8%, impacted by negative foreign currency fluctuations, but up strongly in local currency, benefiting from the Rugby World Cup and the new V8 and Formula One Motorsport properties combined with higher underlying market share. Segment EBITDA in the quarter fell 13% due to negative impact from foreign currency fluctuations and expected higher programming rights costs related to the Rugby World Cup. Excluding the impact of foreign currency fluctuations, adjusted revenues grew by 10% and adjusted EBITDA grew by 9%. With respect to earnings from affiliates, Foxtel ended the quarter with over 2.9 million total subscribers, with the majority of growth from cable and satellite subscribers, which increased 8% compared to the prior-year period. In the quarter, cable and satellite churn improved to 10.1% from 10.9% in the prior year. Foxtel revenues for the quarter in local currency were up 3% versus the prior year. And EBITDA was down 21% due to expected higher programming costs, primarily sports rights and fees, and an expected increase in costs associated with higher sales volume and the public launch of Triple Play. Last week, 10 Network received ACCC and ACMA approvals for Foxtel's 15% investment for a total contribution of AUD77 million, subject to confirmation from the Australian Foreign Investment Review Board. 10 will also hold roughly a 25% stake in the multi-channel network ad sales venture with Foxtel and FOX Sports. Included within income lost from discontinued operations, in the first quarter of fiscal '16, the company recognized a pre-tax noncash impairment charge of $76 million, reflecting a write-down of the digital education business to its fair value. As I noted, the sale of Amplify's Learning and Insight business was completed on September 30. The gross proceeds from the sale of Amplify Learning and Insight will more than offset any exit costs relating to these businesses, including severance. And importantly, we recognize a tax benefit of $151 million as a result of the plan to dispose of the digital education business. We will continue to maintain support for the Amplify Access Tablet business. We expect future costs to be minimal, and these will be reflected in discontinued operations as Access is classified as an asset held for sale. We expect the full free cash flow and earnings benefit from the exit of the digital education business from fiscal [ph] '27 onward. In summary, we remain focused on driving long-term growth and believe News Corp is on the right track. We're always examining our asset portfolio and willing to make changes that maximize value per share on long-term growth. Our decision to exit digital education reflects our view that free cash flow is a priority for News Corp and that the ongoing investment spend at Amplify was better suited within a different structure. We have aggressively shifted our focus to digital real estate, and we believe that Move and REA Group will be core pillars of our profitability [technical difficulty]. We have extended our real estate reach and expertise through investments in India and through REA's investment in Southeast Asia, which should be magnified by its planned buy-in of iProperty. While book publishing faced some tough comparables this quarter, we are very pleased with the successful integration of our past acquisitions. We continue to leverage Harlequin's international distribution network and our annualized cost synergies from the Harlequin acquisition are on target at $20 million. While the News and Information Services segment remains volatile with advertising trends geographically uneven, we're investing in digital products, actively addressing our cost base, and using different levels to drive growth and circulation revenues. As we shift more steadily to digital and towards a more balanced revenue mix, our mastheads are evolving into unique platforms that provide valuable audiences which we can leverage across our properties, as is evident with the success of realtor.com and at REA in Australia, we believe the steps we've been taking have put News Corp in a better position to drive long-term value per share. We're pivoting the company into faster growth segments and will continue to reinvest and be balanced with capital returns. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] We'll take our first question from Entcho Raykovski with Deutsche Bank.
Entcho Raykovski: My question is around Foxtel, where obviously getting revenue growth, but there has been a significant step up in the costs. How do you think about those costs going forward? Do you view the costs now providing effectively a base or is there -- are there some one-off costs in this quarter, which you're likely cycle out of in subsequent quarters?
Bedi Singh: In the quarter obviously some of the costs are related to programming. So we had costs for the motor sports and so I think those to the extent we have sports-related costs, you'd expect them to recur. In terms of marketing costs, we're still actively marketing the new packages and I think there will be some continuing costs for that. But we should see those tapering down in the second half of the year. Obviously, with triple-play, there will be customer support and installation costs that will continue, but we should see those tapering down.
Robert Thomson: To add to Bedi's answer, obviously in sales in Q1 were up 38%. Total subs were up 10% to $2.9 million. It's a very dynamic market in Australia at the moment, as you're well aware. There is some competition, for example, from Netflix, but what you have to realize is the offering at Netflix is certainly inferior to that of Foxtel and indeed inferior to that of Netflix in the U.S.
Bedi Singh: And just to add to that, obviously, the full impact of the new subscribers that we've added hasn't yet flown through, because the additions were in the second half of last fiscal year. You should see that flowing through as well as the year goes on.
Michael Florin: Operator, we'll take our next question, please.
Operator: And we'll take our next question from Fraser McLeish with Credit Suisse.
Fraser McLeish: I've got a Foxtel related question as well. Just quickly, I think for the full-year, you said you expected Foxtel EBITDA to grow in FY '16. I'm wondering, if you're still expecting that given the first quarter? And also, it was helpful breaking out the cable and satellite growth. But I was just wondering, are you able to give us the number of Presto subscribers that are actually included in that base?
Bedi Singh: I think we still expect Foxtel to show EBITDA improvement as the year goes on. Again, it's a factor of what Robert and I both mentioned in response to the previous question, which is you'll see the effect of revenues for the new subscribers going all the way through and some tapering down of the costs. We're not actually breaking out I think the Presto numbers, but needless to say, most of the growth that we saw came from cable and satellite subscribers.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll take our next question from Alice Bennett with CBA.
Alice Bennett: I'm sorry, I've got another Foxtel question. I just was wondering if you could give us a sense where ARPU has come through relative to the $93 you talked about in FY '15, but also just a sense of whether you're seeing any stabilization from the pricing gap, but also presumably some tiering down as Netflix penetration picks up in Australia. Just whether you're seeing those ARPU numbers start to base out or do you think there's still further downside to come?
Bedi Singh: So I think with the new pricing packages, what we're seeing is that ARPU has come down a little bit. I would say sort of mid-single digits. We haven't actually given out the actual ARPU number, but what's happening I think with that is we're seeing churn has actually improved. And in terms of spin-down, I think it's sort of on plan is the best way to put it. So we haven't seen anything significantly worrying with respect to spin-down.
Robert Thomson: Just to supplement Bedi, on the point of churn, it's down from 10.5% to 10.1%. Obviously, it's a very competitive market, but we believe we have a very competitive product.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll take our next question from Alexia Quadrani with JPMorgan.
James Copeland: Hi, this is James Copeland in for Alexia. I just wanted to ask you a question about the journal and video and mobile advertising. I'm just curious, if you can provide any insight on how mobile and video are progressing and particularly given how rapidly mobile is growing at a couple of your peers. Could you say anything about adding new marketers maybe that are already advertising in other platforms that you might be bringing onto mobile for the first time?
Robert Thomson: It's a very good question. We are seeing obviously significant growth in the mobile audience and generally speaking in recent years, that growth in audience hasn't been reflected in a similar growth in mobile advertising. What we have done by acquiring companies like Unruly and Storyful is to bring real mobile video expertise into musical voice and not just at the Wall Street Journal, but across the company. And so that is enabling us to derive higher returns and set us on a track for longer-term exploitation of obviously what is going to be a commercially crucial canvas.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll move next to Doug Arthur with Huber Research.
Doug Arthur: Just a question on HarperCollins and book publishing. You've had a number of tough comp quarters here with Divergent. How do you see the pipeline in comps going forward?
Bedi Singh: I think with Divergent, the next quarter we should see some easing of the comps, even though Divergent was still pretty big for Q2. So I think that's probably the way to look at it. Obviously, the mix of books, any quarter compared to the prior quarter, it sort of like depends on what happened. So I think it is one of those businesses where we will continue to go quarter-by-quarter. But generally we're very pleased with the way the book business is developing. I think, obviously, we'll see how the Christmas selling season pans out.
Robert Thomson: Just to be more specific, clearly we had a great hit with the American Sniper at this time last year and into the new year, but just to give you a range of figures that highlight the difficulty of comparison, which is a great challenge for the team at HarperCollins. Last year in the first quarter, Divergent generated about $25 million in revenue off of about 3.7 million units. In the just completed quarter, it was $2 million off 400,000 net units. And also don't forget about 40% of those units were e-books, which are a higher margin. So that gives you a sense of why the comps were so complicated.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll take our next question from Justin Diddams with Citi.
Justin Diddams: Just a question on Move. Impressive revenue growth for the quarter. I was wondering if you could just elaborate a little on where that growth is coming from, whether it's sort of increased volume and usage through the platform, whether you put price increases through on the CoBroke product and how you are driving that revenue growth, that would be really useful.
Robert Thomson: Well, its two things I think to highlight. First of all, it's not only an increase in the quantity of traffic, its very high quality traffic. And that's leading to, in particular in the CoBroke area, an increase in revenue that's quite significant. I think overall, the revenue rose 33%. You might have noticed earlier this week a company that starts with the final letter of the alphabet, Zee that is, Zed elsewhere, was up 13%. And one other important component was a media advertising, which is where not only in the editorial content, but also in the approach to media advertising we saw a significant increase, that was up 60% year on year and so both of those components have made material improvement.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll take our next question from Andrew Levy with Macquarie.
Andrew Levy: Just a question on the book segment. You mentioned that the industry trends were a weaker for e-book sales. I just wanted to get your thoughts on what might have been driving that, whether it was related to releases or you think there's some of the industry issue at play at the moment?
Bedi Singh: It is sort of hard to tell in precise detail, but I think it's obviously a mix of books will affect that. I think pricing can be a factor in that. I think there's a number of things at play, but generally, if you read the other book companies and what they have been publishing in terms of their results, I think there seems to be a general weakness in e-books.
Robert Thomson: And to add to Bedi's point, which is obviously correct, it's made particularly so in our case because of the Divergent effect and its pronounced e-book component.
Michael Florin: Operator, we will take our next question, please.
Operator: We'll take our next question from Craig Huber with Huber Research.
Craig Huber: Yes, hi. Curious how much thought you guys have given and your Board of Directors has given to potentially breaking up the company by either spinning off your news and information segment to a separate standalone public company or taking your entire Australian assets and spinning those off into separate Australian equity?
Robert Thomson: Craig, I think one thing you'll have noticed from the results is how the complimentary of our assets has created a powerful platform that it makes News Corp as it is far more than the sum of the parts. We couldn't have done what the team have done at Realtor without the newspaper assets. We couldn't have done what the team have done at REA without those newspaper assets. And you're seeing that compliment of entirety play out in other ways. And as we get more and more data across the businesses, whether they be the newspaper businesses, the News America Marketing or the real estate companies, we'll be able to share important demographic data. And I think that does give us a real comparative advantage. And what you're seeing at the moment in the ad market, as I mentioned in my preamble, at the moment there is a lot of tension between advertisers and agencies, and that's both in, for example, freestanding inserts area, right across the newspaper advertising, and we genuinely believe that the asset mix we have has created a platform for the future, for the company and obviously for shareholders.
Michael Florin: Thanks, Craig. Operator, we'll take our next question, please.
Operator: We'll take our next question from Brian Han with Morningstar.
Brian Hahn: Bedi, can you confirm, did you say the earnings and cash flow benefits of divesting Amplify won't come through until fiscal '17? And how much did Amplify cost News Corp in cash burn in '15?
Bedi Singh: So in '15 the cash burn was roughly about $200 million. There will be some benefit in fiscal '16. But what I meant was that the full effect will be felt from fiscal '17 onwards.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll take our next question from Alice Bennett with CBA.
Alice Bennett: I just had a question about data, which you're referencing quite a lot. Just wondering whether you're close to the point where data is becoming monetizable, I guess. One of your competitors in Australia has talked recently about programmatic finally turning positive, the yields for the online display revenues, because of their data and what they are doing with it. Are you at the point where you're close to monetizing it or is it more just sharing it with other parts of your business?
Robert Thomson: Alice, we're certainly monetizing it. Obviously, there is data and there's high quality and there is low grade. And you look, for example, one of the Checkout 51's benefits for the company and its efficacy is clear, is that instead of intentions or context through the uploading receipts, you're seeing buying actions. That tells you a lot about not only the purchase, but the purchaser. So for example, if somebody goes to a home improvement store and buys 15 tins of paint, some siding for the house, that person may be preparing that particular home for sale. That lead is invaluable to a realtor. And so at the same time, if that person is moving into an area or leaving an area that's what you might call a typical cashman area for a Wall Street Journal reader, it's an opportunity to attract a new subscriber. That's internally our ability to optimize that data and clearly we'll get more sophisticated, as the months progress. And we're also able to use that data for our clients, our advertisers and our partners.
Michael Florin: Operator, we'll take our next question, please.
Operator: We'll move next to Eric Katz with Wells Fargo.
Eric Katz: So I assume you're consolidating high property into your financials in calendar Q1, as you mentioned. Can you tell us the size? How much revenue and EBITDA does that business generate?
Bedi Singh: We will be consolidating -- the REA will be consolidating our property. And obviously since we consolidate REA, it will flow upwards into our consolidation. EBITDA from that business is sort of marginal and revenues are sort of in the $50 million range.
Michael Florin: Thanks, Eric. Operator, we'll take our next question, please.
Operator: And we'll take our next question from Alice Bennett with CBA.
Alice Bennett: Just one more question. Just with subscription revenues around the world, it provided a bit of a buffer to your newspaper revenues, the last couple of years. Just wondering with the cover price increases that have been fairly aggressive, whether you see that kind of tapering out over the next year or so or you still see further scope for those to continue to rise?
Robert Thomson: Alice, I think I wouldn't agree with your phrase aggressive. I think we've been conscious of our different markets and the elasticity that different products have. And if you're talking about the Wall Street Journal or Times of London, that's very different to the daily telegraph. But at the same time, we believe that these are beacon brands that they have the best journalism in the world, and there remains a certain elasticity, which varies by segment.
Michael Florin: Thanks, Alice. Operator, we'll take our next question, please.
Operator: We'll go next to Entcho Raykovski with Deutsche Bank.
Entcho Raykovski: Just a follow-up question around cable network programming, and obviously there was news earlier this week that the EPL contract has been lost to another provider. I just wanted to understand, how do you think now internally about a potential loss of subscribers, given that contract is gone? And do you intend to backfill perhaps that spot with either direct agreements with the clubs or other spots?
Robert Thomson: Entcho, obviously you can buy any route as long as you're prepared to pay any price. But sometimes, by our reckoning, any price is not appropriate for us or our shareholders. And as you say, there are some EPL fans in Australia, there's no doubt about that, but we're certainly not talking about prime time. The 3:00 PM kickoff in U.K. is 2:00 AM in Australia. So as you know, hard-core fans of anything in Australia are called tragics. So the sweet spot for EPL at 2:00 in the morning, our tragics are insomniacs. And the other thing you might have noticed yesterday, Bayern Munich beat Arsenal 5-1 in the Champions League, which maybe itself an indictment of the value of the Premier League.
Michael Florin: Operator, I think we have time for one last question.
Operator: We'll take our final question from Peter Stamoulis with Evans & Partners.
Peter Stamoulis: I was just interested in your thoughts around this ad blocking technology and how it may impact your traditional mastheads, and in particular advertising revenues going forward, and how I suppose you mitigate those risks?
Robert Thomson: Look, it's much talked about and less seen, to be honest, in our businesses. The truth is that, for example, Unruly will give us expertise around ads and insight into the use of ads that is valuable to our clients and as well as to our products. But the role of ad blockers is much more pronounced in what you might call commodity content sites. Sites that have more noise than news and that's certainly not ours. End of Q&A
Michael Florin: Well, thank you all for participating. And have a great day. And we'll talk to you next quarter.